Operator: Good day, ladies and gentlemen, and welcome to the Q4 2014 Illumina Inc. Earnings Conference Call. My name is Jasmine and I’ll be your operator for today. At this time, all participants are in listen-only mode. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Ms. Rebecca Chambers, Senior Director, Investor Relations. Please proceed.
Rebecca Chambers: Thank you, Jasmine. Good afternoon, everyone and welcome to our earnings call for the fourth quarter and fiscal year 2014. During the call today, we will review the financial results released after the close of the market, and offer commentary on our commercial activity, after which we will host a question-and-answer session. If you have not had a chance to review the earnings release, it can be found in the Investor Relations section of our website at illumina.com. Participating for Illumina today will be Jay Flatley, Chief Executive Officer; Marc Stapley, Senior Vice President and Chief Financial Officer; and Francis deSouza, President. Jay will provide a brief update on the state of our business and Marc will review the fourth quarter and fiscal year 2014 financial results, as well as detail our guidance for 2015. This call is being recorded and the audio portion will be archived in the Investor section of our website. It is our intent that all forward-looking statements regarding our expected financial results and commercial activity made during today's call will be protected under the Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties. Actual events or results may differ materially from those projected or discussed. All forward-looking statements are based upon current information available and Illumina assumes no obligation to update these statements. To better understand the risks and uncertainties that could cause actual results to differ; we refer you to the documents that Illumina files with the Securities and Exchange Commission, including Illumina’s most recent forms 10-Q and 10-K. Before I turn the call over to Jay, I would like to let you know that we will participate in the Cowen Health Care Conference in Boston the week of March 2. For those of you unable to attend, we encourage you to listen to the webcast presentation which will be available through the Investors Relations sections of our website. With that, I will now turn the call over to Jay.
Jay T. Flatley: Thanks, Rebecca and good afternoon, everyone. I’m very pleased to report that Q4 was another record quarter which closed out arguably the most impressive annual performance in the history of the company. Revenue increased 32% year-over-year to $512 million, our 13th quarter of sequential revenue growth. Equally impressive was the leverage we delivered this quarter, as non-GAAP earnings per share grew 93% compared to the fourth quarter of 2013. These record results were due to strong underlying trends across our customer segments and sequencing portfolio, solid operational execution, and a greater than anticipated tax benefit. Fourth-quarter total sequencing revenue grew 48% year-over-year, driven by demand across our platforms, record consumables and continued uptake of our products across market segments, applications, and experimental scales. Sequencing instrument revenue grew 93% compared to the fourth quarter of 2013, driven by demand for the NextSeq 500 and the HiSeq X instruments. In addition, HiSeq and MiSeq again exceeded our projections, as customers continue to view these instruments as the NGS gold standard in their respective segments. As we shared at the JPMorgan conference, in Q4, we added three new HiSeq X Ten customers and booked a total of 37 systems. We now have 18 customers who have ordered 201 systems, 134 of which shipped in 2014. As predicted, Q4 saw noticeably fewer X shipments due to the timing of customer readiness. Going forward, our order funnel remains healthy, a trend that we project will continue into 2015. We recently announced new additions to our portfolio, which now includes HiSeq X Five, as well as the HiSeq 3000 and 4000. Early customer feedback has further fueled our excitement around this expanded family of high throughput sequencers, which we believe offer tremendous flexibility to address various budgets and scientific priorities. We expect many labs will have multiple versions of our instruments and use them to meet different output, time, and economic drivers. The introduction of X Five, which will ship in Q2, allows adoption of whole genome sequencing with a lower capital investment and an attractive price per genome. The introduction of this configuration was not prompted by a lack of demand for the HiSeq X Ten. Instead, it's clear that providing a lower entry price to the X technology will grow the overall market more quickly and accelerate the evolution to sequencing full genomes. The HiSeq family has a rich development road map, including the enablement of patterned flow cell technology, with the introduction of the HiSeq 3000 and 4000. Going forward, we believe most customers will prefer these new systems over the 2500, given the improved economics and throughput. There will be a number of customers who remain on the 2500, however, due to the use of validated workflows or the importance of access to rapid run mode and longer reads. The introduction of these systems will further catalyze the replacement cycle of older generation instruments. We estimate that approximately 1,000 HiSeqs in the field cannot run the 1T kits. These systems are strong candidates for replacement over the next three years, as customers evaluate their run cost economic. During Q4, demand for HiSeq 2500 exceeded our expectations. Shipments in the quarter were similar to the levels seen in Q4 2013, and in the Americas, orders reach the highest level seen in the past two years. To ensure customer satisfaction, we are offering a special promotional trade-in progra to labs that received 2500s in Q4. As a result, we deferred a small amount of revenue to account for this program, which will be recognized over the first half of 2015. Moving to NextSeq, sequential order trends remain strong, with approximately 15% sequential growth in Q4. Incoming orders continued to be fueled by the over 25,000 new leads we generated from the road show conducted shortly after the product launch. These leads contributed to an acceleration of adoption by customers in the fourth quarter and accounted for close to one-half of all orders, up from the 30% we saw in the third quarter. NextSeq continues to draw significant interest from the oncology market. In the fourth quarter, shipments to this segment grew 50% sequentially and included a multi-unit order for a reference laboratory that is scaled to production level, boding well for future consumable utilization. The first half of 2015 will see two enhancements to this platform, with the availability of the v2 chemistry, as well as the launch of the NextSeq 550. The v2 chemistry vastly improves error rates, now consistent with our more mature platforms. As a result of this improved performance, the machine is now sufficiently locked down to prepare for open platform clearance, which we expect later this year or early 2016. Available in Q2, the NextSeq 550 further enhances the platform's flexibility, adding the capability to scan v chips. Initially, we've qualified our cyto and karyomapping arrays and will decide whether to enable other arrays based on market feedback. This functionality is particularly important in reproductive health, as it provides access to our array and sequencing technology with a single CapEx investment. We're very pleased with the roll out of the NextSeq platform, overall, and believe demand for this instrument will be enhanced with these new improvements. MiSeq continues to outperform our expectations. Orders and shipments both exceeded 300 units in the fourth quarter, the highest level seen since the launch in 2012. New to Illumina sequencing customers drove this outperformance and accounted for more than 60% of orders. Record orders for the MiSeqDx were generated from customers interested in clinical markets, including HLA and cystic fibrosis testing. Additionally in the first quarter, we will enable v3 chemistry on the MiSeqDx in RUO mode and plan to update the intended use to support FFPE samples. Our competitive position in this market strengthened throughout 2014, which we believe will continue with the introduction of our HLA and forensic sampling answer solutions. Moving to arrays, we continue to witness growth in sample volumes, but at lower prices. In 2014 volumes grew 5% compared to the prior year, but due to aggressive pricing, total microarray revenue was down 6% for the full year, including a decline of 11% in Q4. Despite this reduction in revenue, our Ag, IVF, and biobanking activities have been strong. In 2014, large volume opportunities in both crops and livestock resulted in approximately 2 million samples shipped to high-throughput breeding operations, a 47% increase versus the prior. We will continue to focus on arrays as a critical component of our Ag business and expect sample shipment growth to exceed 25% in 2015. The IVF market also continues to gain traction. This business is now approaching $30 million in annual revenue, with a growth of 36% year-over-year. We also remain focused on biobanking activities, and as a result, introduced our MEGA array in the fourth quarter, which provides an improved understanding of diseases and phenotypes across diverse global populations. We believe this product will provide us with a superior competitive positioning in the biobanking market. As an example of our long-term commitment to arrays, we plan to increase our R&D investment in 2015, expand our concierge service for custom products, and broaden our commercial activities. As a result of these additional investments, we are projecting array revenue to be approximately flat in 2015. We remain focused on delivering complete sample-to-answer workflows to enable new markets. This strategy includes offering such as NeoPrep and our HLA product, both of which are expected to ship this quarter. The strategy also extends to our forensics genomic system, which is now shipping. With a single workflow, this system enables labs to perform a more robust analysis of a broader range of genetic markers than with existing technologies. Overall, our market opportunities continue to broaden as demonstrated by commercial, nonprofit, and hospital customers accounting for approximately 55% of shipments in both the fourth quarter in 2015 overall. This year, we made great progress on our strategy to enable clinical markets, as 30% of our instruments went to clinical laboratories. Additionally, sales to the oncology market for both research and clinical applications grew 40% compared to the prior year quarter. In 2015, we hope to further catalyze this market with programs such as our recently announced Actionable Genome Consortium and our development program in liquid biopsies. Liquid biopsies are expected to play a role across multiple segments of the oncology market. We are focused on first delivering an RUO kit into the market and expect to be in a position to present clinical utility data by year-end. We will run this test at Illumina's Redwood City CLIA lab to refine the product and develop data for FDA submission. Similar to NIPT, our strategy here is to provide the best technology into the market, as opposed to offering long-term lab tests or selling to physicians. Moving now to reproductive and genetic health, the market continues to develop on a global scale, which resulted in 47% revenue growth in 2014 compared to the prior year, with NIPT samples growing 31% sequentially in the fourth quarter. As we mentioned last quarter, we recently undertook an assessment of our entire regulatory strategy, which was led by our Myraqa team. We're working with the FDA to determine the appropriate claims and data sets to broaden this market to include the average risk population. We will share more detailed schedule information, once we align with the FDA. In Q2 we will launch our new NIPT assay which we believe will enable broader adoption of prenatal testing in global markets. Based on paired-end sequencing, this assay is ideally suited for decentralizing NIPT, due to its ability to sequence 48 samples per run and a significant work flow and cost benefits derived by eliminating PCR. With the development of this new assay, we are moving forward with what we believe to be a superior regulatory strategy; this includes gaining CE IVD marking for the HiSeq software in Europe. Additionally, we plan to gain a CE Mark on a VeriSeq NIPT assay and the associated software, which will enable us to distribute this product as an IVD across the EU. The step that we believe is necessary to develop and penetrate this large market opportunity. As a result of these strategy changes, as well as recent enhancements we’ve made to the HiSeq family of products, we decided to suspend our efforts to seek FDA approval of the HiSeq 2500 in the U.S. In summary, our Q4 and 2014 results exceeded our expectations and our momentum remains strong as we enter 2015. Our new product introductions will continue to fuels the high throughput market, further enabling customers to tailor their fleet of instruments to meet diverse requirements. With the most powerful and well positioned sequencing portfolio available, our technology leadership is delivering robust demand and an expansion into new markets. Our focus on innovation is stronger than ever and looking ahead we expect to deliver significant shareholder value as we unlock the power of the genome. I’ll now turn the call over to Marc, who will provide a detailed overview of he fourth quarter results.
Marc A. Stapley: Thanks Jay. As Jay described, Q4 marked another solid performance for Illumina to close our record year. Revenue grew 31% in 2014 versus the prior year to $1.86 billion reflecting the impact of the new HiSeq X Ten and NextSeq instruments as well as lower than expected cannibalization of MiSeq and HiSeq. Reported fourth quarter revenue grew 32% year-over-year to approximately $512 million. This strong result can be attributed once again to record sequencing instruments and consumables. The combined impact of unfavorable foreign exchange fluctuations as well as deferral of revenue related to our HiSeq 2500 trade-in program for instruments shipped in Q4, resulted in a $15 million headwind. Global interest in our products remained strong during the fourth quarter. Shipments in the Americas grew 34% year-over-year and European shipments increased 33% over the same period. In APAC, shipments grew 8% year-over-year as strength in China was partially offset by a decline in Japan as funding discernments remained constrained in the region. Instrument revenue grew 75% year-over-year to reach $156 million in the fourth quarter. This increase was primarily driven by demand for NextSeq and HiSeqs X Ten, as well as strong MiSeq unit shipments and stable HiSeqs sales. Overall consumable revenue in the quarter was $290 million an increase of 19% compared to the fourth quarter of 2013, as higher demand for sequencing consumables was partially offset by a decline in arrays. Consumable revenue represented 57% of total revenue, modestly higher than the 54% we saw in Q3, but down from 63% in the prior-year period. This decrease year-over-year was due to the strength in sequencing instruments during the quarter. Sequencing consumable revenue grew 32% over Q4 last year, due to our larger installed base of instruments, including the addition of HiSeq X Ten and NextSeq, and reached record levels during the fourth quarter. Shipments of our Sample Prep products benefited from the price reduction we put in place in Q3, which was more than offset by increased volumes, as customer demand for our core DNA and RNA library prep products grew. MiSeq consumable pull-through remained within our projected range of $40, 000 to $45,000. HiSeq pull-through per instrument excluding HiSeqs X was roughly flat sequentially and comfortably in our projected range. In future quarters, pull-through for HiSeqs 2500, 3000 and 4000 will be reported as a family of instruments and we continue to project a range of $300,000 to $350,000. In the fourth quarter, consumable utilization for NextSeq and HiSeq X Ten was above our forward-looking guidance ranges that we provided on January 12. This is a function of how we calculate pull-through, which generally results in artificially high number in the first year of launch due to the ramp in the installed base. As a reminder, we are projecting $80,000 to $100,000 of annual consumable on NextSeq, and on HiSeqs X, including X Ten and X Five combined, we are expecting to generate $600,000 to $650,000 per year of reagent utilization per instrument. Services and other revenue, which includes genotyping and sequencing services, instrument maintenance contracts, and revenue from NIPT services, grew 22% versus Q4 2013 to $62 million. This improvement was driven by growth in our extended maintenance contracts associated with a larger sequencing installed base; NIPT services, which benefited from test fees, as well as increased test send-out revenue; and strength in genotyping services. Turning now to gross margin and operating expenses, I will highlight our adjusted non-GAAP results, which exclude legal contingencies, non-cash stock compensation expense, and other items. I encourage you to review the GAAP reconciliation of non-GAAP measures included in today's earnings release. Before I talk about the trends for the quarter, I would like to highlight the GAAP treatment of two significant transactions that we are pleased to have resolved in Q4. Firstly, we settled the Syntrix litigation for an amount less than our prior accrual, resulting in an accounting gain $109 million, $27 million of which was recorded in cost of revenue, and $82 million of which was recorded in operating expense. In addition, we recorded a $30 million intangible asset, reflecting the future benefit of the license acquired. Secondly, we entered into an agreement with Sequenom, resulting in, among other elements, the pulling of our patents. As a result of this transaction, we recorded $49 million of legal contingencies costs in research and development expenses, reflecting the upfront payments we made to Sequenom. Both of these items have been excluded from our non-GAAP results. Turning now to margins, our adjusted gross margin for the fourth quarter equaled 72.3% compared to 73.2% in the third quarter. The sequential decline is due to the impact of deferred revenue and other items associated with the new product introductions, partially offset by the higher mix of consumables. Year-over-year, adjusted gross margins expanded 90 basis points from 71.4% to 72.3% as the lower mix of consumables was more than offset by improved instrument margins and manufacturing efficiencies. Additionally GAAP gross margin expanded to 820 basis points versus the prior year to equal 75.1%, primarily due to the aforementioned gain on the Syntrix litigation. Adjusted research and development expenses for the quarter were $80 million, or 15.7% of revenue compared to $70 million or 14.6% of revenue in the third quarter. The sequential increase in R&D expense was primarily due to headcount additions and other expenses related to our new products. On a GAAP basis the increase in research and development expenses to a $143 million compared to $85 million in Q3 was primarily due to the upfront Sequenom payment previously mentioned. Adjusted SG&A expenses for the quarter were $97 million, or 18.9% of revenue, compared to $91 million or 19% of revenue in the previous quarter. The sequential increase in expense was primarily due to commission payments arising from the excellent year-end performance and higher headcount to support our revenue growth. Adjusted operating margins were 37.7% compared to 39.7% in the third quarter. A decrease sequentially due to lower gross margins and increased investment. Operating margin was higher compared to the 32.3% we reported in the fourth quarter of last year due to the impact of improved gross margins and operating expense leverage. In the fourth quarter we recognized approximately 700k of adjusted other expense, primarily due to the impact of foreign exchange. During the quarter our stock-based compensation was $38 million lower than the $45 million reported in Q3, which was elevated as a result of additional accrued expense for our performance stock units. Our non-GAAP tax rate for the quarter was 16.2% compared to 32.6% in the fourth quarter of last year, lower primarily due to the full-year impact of the R&D tax credit and other tax extenders which were enacted in the fourth quarter. The fourth quarter rate was significantly better than we expected at the time of our recent pre-announcement, as we benefited from favorable adjustments related to multiple prior-year provisions and higher-than-expected stock deductions. These favorable items, which surfaced in the last few weeks as part of our normal quarter and year-end close process, equated to approximately $0.06 of EPS improvement. Excluding the impact of these items to Q4 non-GAAP tax rate would have equaled 22%, and for the full-year, our normalized tax rate would have been 28.2%, which excludes also the favorable tax item we noted in Q3. Non-GAAP net income was $129 million for the quarter and non-GAAP EPS was $0.87. This compares to non-GAAP net income and EPS of $65 million and $0.25 respectively in the fourth quarter of 2013. We reported GAAP net income of $153 million or $1.03 per diluted share in the fourth quarter, compared to net income of $81 million or $0.56 per diluted share in the prior year period. Current-period results include the aforementioned Syntrix litigation gain, which was offset in part by the Sequenom expense item and their associated tax impacts. We generated cash flow from operations of $141 million in the fourth quarter even after the outflow of $51 million due to the Syntrix settlements, Sequenom agreement. For the full year cash flow from ops was $501 million, a new record. Q4 DSO was 51-days, a slight improvement from the 52-days seen in the prior quarter. Capital expenditures in Q4 were $35 million, resulting an $106 million of free cash flow. During the quarter, we repurchased approximately 185,000 shares for $35 million and we have $130 million remaining under our previously announced programs. We ended the quarter with over $1.3 billion in cash and short-term investments. Turning now to our expectations for 2015, we are projecting approximately 20% total Company revenue growth and non-GAAP EPS was $3.12 to $3.18. This guidance assumes current currency rates, which would result in a 200-basis point headwind growth compared to last year. Additionally, we are projecting approximately 73% gross margins full year weighted average non-GAAP diluted shares outstanding of $150 million and full year pro-forma tax rate of 28%, which does include the 2015 federal R&D tax credit and other tax extenders. For modeling purposes, we feel it is appropriate to assume the tax credit is passed Q4, and at the time, we will record the full-year impact. Therefore at this point, we expect the Q1 tax rate of approximately 29%. In summary, we delivered remarkable fourth quarter results including impressive revenue growth over a strong prior year quarter as well as 93% growth in non-GAAP diluted earnings per share which capped off an exceptional 2014. This year, we made significant progress on our market development strategies and we look forward to pushing these investments even further in 2015. We believe our strategy of technology leadership and market enablement will catalyze the adoption of genomics and enable us to address the more than $20 billion market opportunity we have ahead of us. Thank you for your time, we will now move to the Q&A session. To allow full participation, please ask one question and rejoin queue if you have additional questions. Operator, we’ll now open the line for questions.
Operator: [Operator Instructions] and your first question comes from the line of Tycho Peterson with JPMorgan. Please proceed.
Tycho W. Peterson: Thanks guys. Question about maybe just any thoughts you might have about cannibalization with 3000, 4000 and NextSeq 550, you have obviously done a good job in the past mitigating cannibalization of the current portfolio, but maybe talk to where you see some potential cannibalization for the coming year.
Marc A. Stapley: Yes, I think the 550 will be a purely incremental product and it will be small increment on top of the standard NextSeq base, since it’s really designed to appeal to that set of customers that need to run sequencing together. So that’s not a huge part of the overall market, so we don’t anticipate any direct cannibalization there at all. With respect to the 3000, 4000 as we alluded to in the script, we do think that customers in general will prefer getting on the newer road map, so those who have the ability and the funds to upgrade from or to sort of change out 2500s or who are buying new instruments will likely favor the 3000 and the 4000. We also price the 3000 version, which is a single flows all version, right on top of the old price of the HiSeq 2500 and that was done intentionally for those customers who may have had grants or tenders in place and would be able to convert the funds that they had allocated for 2500 directly to a 3000. So the net of that is that we do expect significant cannibalization over the next year of the 2500, but sort of a catalyzing effect on the older installed base to trade out the older 2000s and early version of 2500s for the newer technology.
Tycho W. Peterson: And then as we think about the implications of decupling the X Ten with the X Five, you mentioned t As we think about the implications of decoupling me ask ten with the X Five you mentioned that didn't slowdown demand for X ten, but could you have a better year in orders in with X Five and X Ten combined in 2015 then you did in 2014 or just the extent?
Jay T. Flatley: We certainly could. The reason we did this is because as I mentioned we think we can grow the overall market faster. Demand for X Ten continues and since we made the announcement with X Five recently our assumptions there have been validated, so there is quite a few customers that we’ve talked to who have been in our queue who continue to push forward with X Ten type purchase. So we are pretty confident that most of that pipeline will continue to drive toward X Ten. Some of them who might not have gotten there for quite some time maybe able to jump in now sooner with X Five and then upgrade to a ten unit configuration over time. So overall we think, we certainly are going to grow the market faster than 2015 would've been on its own we have the potential to grow the overall X unit faster than 2015 than we did in 2014.
Tycho W. Peterson: Okay, if I could ask one last quick one, can you quantify the decline in array pricing that you called out? Are you assuming that [indiscernible] rates? I know you talked about revenues and rate being flat in 2015, but how much of the pricing come down?
Marc A. Stapley: Well, there is certainly a different array in our product line Tycho, I would guess now there is 25 or 30 different array products that we offer. And the prices are so different and the market segments are so different it’s hard for an average to make much sense their. So I actually have that number in my finger tips, but I think that you can expect array pricing to continue to go down over the next few years, particularly as more customers migrate towards sequencing and the business tends to stay on micro arrays will be the less and less complex part of the market. So you'll see for example our high complexity arrays like the 2.5 and the 5 million arrays be a smaller and smaller part of the product line and those are clearly the highest price chips. So you will continue to see the overall ASP and arrays go down.
Tycho W. Peterson: Okay, thank you very much.
Operator: And your next question comes from the line of Doug Schenkel with Cowen and Company. Please proceed.
Douglas Schenkel: Hey guys good afternoon.
Jay T. Flatley: Hi, Doug.
Douglas Schenkel: So you continue to demonstrate the ability to innovate and advance using SBS chemistry as demonstrated by recently announced new products and some of the advancements linked to pair of flow cells and clearly this innovation puts you in a position to generate robust growth. Maybe to levels that exceed what’s in current consensus expectations. All that said, the investment case for material upside from current share levels seems to be largely predicated on not just a large TAM that exist for you guys, but on building confident in your ability to capture that TAM. So when we think about the clinical opportunity what milestones specifically should investors measure you by in 2015 including, but going beyond what you talked about for liquid biopsy in your prepared remarks?
Jay T. Flatley: Well, I guess when you think about the that we talked about a year go the $20 billion number, there is a number of key things you ought to watch. They are probably not – I think milestone perhaps is a little bit of a strong word these are big digital events. But its continued progress in the development of key markets. Certainly in TOP seq I think watching what happens there, we have the Scottish genomes program that we announced just recently, we are yet to understand exactly how those 15 units are going to be used, but early indicators are that program may evolve to be something not too dissimilar from which – trying to accomplish. So that would be kind of the number two project we put in the TOP seq program. Clearly what happened in the state of the union address at least alluded to the potential of some precision medicine programs in the US which would be very exciting of course if that one that’s happening. So I think watching that continued progress particularly with the scale of those projects will be important announcements for investors to watch. In the clinical space, what we're doing with the actual genome panel and the rollout of products there, the additional pharmaceutical Company's that may come into the Consortium I think will be evidence of continued progress. Once we start deploying the actual genome panel into the market and monitoring the uptake of that panel I think will be important data to watch. Clearly, Liquid biopsy is a breakthrough opportunity for anybody who is working in that area and our goal as I mentioned in the script to get some clinical data, some really important clinical data done by the end of 2015. So I think that will be critical as well. NIPT I would watch the expansion into Europe and China in particular. The new product we announced there the VeriSeq NIPT is going to be a key ingredient of that expansion tied to the CE marketing we are working on in EU.
Douglas Schenkel: All right, that’s really helpful. And then actually sticking with NIPT, and I am just curious if you could give us little more color on what prompted the alternation in the PMA strategy there. Was it largely a function of the new addition of Morocco, was it a change in regulatory reimbursement or competitive dynamics, whether technical developments such as maybe HiSeq 2500 FDA strategy and I guess in terms of timelines what’s the reasonable expectations for us as we think about getting an update from you.
Jay T. Flatley: I put the strategy change in two general buckets one is product evolution and I will talk specifically about that and the second I call market evolution. So on the technology front what we done with the 3,000 and the 4,000 are very important breakthroughs that we have made over the past calendar year. And we are working on that 2500 submission in parallel with that. Once we got to the point, where we knew we were going to launch the 3000, 4000 configurations. If you think about where the 2500 would be at the time it would come out of the PMA submission for example 18 months from now which would kind be the timeframe that we had anticipated. That product is going to be pretty long in the tooth and so we thought that its adoption approved or otherwise beginning a year and half from now wouldn’t be high. The second part that ties to that from a market perspective is that we think the real growth opportunity in the U.S. market isn't so much in the higher risk spaces in the average risk market. And so we were really focused no how do we grow the market to embrace average risk. And to do a submission only on high risk we thought was also limiting. So therefore, we have been working with FDA to define what we have to do to get an average risk approval and with the breath of that marketplace we think the other assay method that we’ve developed for the second part of the technology evolution the VeriSeq I PDSA is a better technical solution to a broader more diverse market. And that’s true certainly in Europe and we think by the time we get through PMA application it will be true in the U.S. as well. So those for the underlying factors now of course bringing the Myraqa and gave us the ability of stand back and do a full analysis of our entire regulatory strategy for all products and that could put instrumental and helping us tune this strategy and make some important changes.
Douglas Schenkel: And the second last part of that question which was in terms of timing, is it reasonable think will get more of an update this year give you know a lot of the sounds like it is linked to really uppers that you are making together with the FDA.
Jay T. Flatley: I think it’s reasonable to think that we will have an idea this year about what we need to accomplish. I wouldn't necessarily think it’s reasonable that we would have a submission this year.
Douglas Schenkel: Okay thanks again.
Operator: And your next question comes from the line of Derik de Bruin with Bank of America. Please proceed.
Derik de Bruin: Hi, good afternoon.
Jay T. Flatley: Hi, Derik.
Marc A. Stapley: Hi, Derik.
Derik de Bruin: I have two quick question, one just housekeeping question. The stock option expense market was lower than we had projected in Q4 and give some sort of guidance on the 2015 number there?
Marc A. Stapley: Yes, Q4 relative to Q3 I think sequential growth. Yes, Q3 was more normally rather than Q4 and Q3 we had an uptick and expense rate to our performance share plan. Given the outperformance of the company and that was less marked in the fourth quarter. In terms of 2015 we haven’t bifurcated the stock expense from the other expense line item its embedded in our guidance, but its probably not far off in the current fourth quarter rate.
Derik de Bruin: Perfect. And then I mean back on the NIPT market I guess that I believe we're waiting for approval for the China CFDA and when does that happen and I guess some thoughts on using arrays for NIPT.
Marc A. Stapley: Yes the CFDA is a black box, so we don’t have much visibility into when the submission may come out the other end, so you know we are hoping its months ways, not materially longer than that but the fact of the matter is we just don’t know, so we're watching that very closely. With respect to arrays, I would say we continue to believe very strongly that sequencing is a superior methodology for doing NIPT, its much more flexible, you can add tests, we think particularly on the turn around time this new NextSeq method is a one day turn around time on the sequencer, so its extremely efficient, 48 samples in parallel, very cost effective. So we're extremely confident in sequencing being the most important platform for doing NIPT testing.
Derik de Bruin: Thanks.
Operator: And your next question comes from the line of Dan Arias with Citigroup. Please proceed.
Daniel Arias: Good afternoon guys thanks. Wanted to ask maybe a bigger picture question on sequencing instrumentation. Jay I think a while back you were asked where you made a comment about sequencing installs relative to the numbers PCR systems that they were out there as an installed base. Have you guys broaden the portfolio and started to go after some of these new markets, do you have a bit of an updated view on the total number of sequences that you think could be in the market in say five years?
Jay T. Flatley: Well we could create on here. Nobody has asked me the question recently. I think we used to talk about the capillary number being an 10,000 to 15,000 as one metric to use that you know if you thought about PCR there is about 50,000 research labs worldwide vastly more if you consider all the clinical labs and it rate to find one of those labs without a PCR machine. So the PCR installed base is a pretty high number, many labs has large numbers of PCR machines. So that’s a very large installed base, I think setting our sights over say a five year timeframe of being in the 10,000 to 15,000 number of NexGen sequencers would be conservative. So we feel like as we continue to broaden the portfolio, diversify market segments as we take the technology into applied markets that the installed base numbers between us and the other suppliers will certainly blow through those ranges in five years.
Daniel Arias: Okay that’s great. That’s helpful. Marc maybe a question with a bit more of a tangible answer, do the new instruments have any impact on the ability to sort of max out the manufacturing absorption and really catch the gross margin at the top end or should any production changes there would be pretty seamless?
Jay T. Flatley: I think any production changes would be pretty seamless given the type of technology that is inherent in the 3000 and 4000, the X Five is the same as the X Ten instrument obviously. I mean it’s similar to the comments I think I made last quarter that manufacturing capability tends to come in step function, so you build out a new facility and for while it’s under absorbed and then you absorb it and you keep going like that. So I think we are at a pretty stable point right now with the absorption and the new instruments to just help to continue to drive that.
Daniel Arias: Okay, thanks very much.
Operator: And your next question comes from the line of Ross Muken with Evercore ISI. Please proceed.
Ross Muken: Good afternoon, gentlemen.
Jay T. Flatley: Hi, Ross.
Marc A. Stapley: Hi, Ross.
Ross Muken: I was curious I wanted to just sort of dig out on a couple of big picture events that happened over the last few weeks and just sort of get your thoughts, because it seems like we are kind of building up to where some of the things you’ve been talking about in the clinical market or starting to become more mainstream, so obviously the President of the state of the Union called out the precision medicine initiative. He kind of highlighted it, but it seems like that to me is kind of a recognition of where the market is going and will have to see what the details, but I'm kind of curious as to what sort of signal you think that sends, and then obviously Roche also large Pharma at JP paid quite a hefty price for someone you likely serve in the oncology space and so it’s sort of is another Pharma kind of recognizing the value of where sequencing is going. How do you sort of think about those things in terms of these markets we’ve been talking about for a long time getting closer sort of kind of a more large scale reality?
Marc A. Stapley: I say 30,000 feet there are clearly very strong signals and probably I would say indicate things happening perhaps even faster than we had anticipated. I’ve talked to a lot of investors about what’s happening in population sequencing, and our expectation over the next few years that there will be a number of countries that jumped into this in a very serious way. We frankly thought the U.S. was behind in terms of its willingness to consider this. And obviously it is still not an approved project here and there is lots that has to happen to actually figure out what this project is and whether the appropriation gets approved to fund this project. But the signals that are being given and how rapidly they have come I find extraordinarily encouraging and I think validating of the overall value that sequencing can provide in understanding human health and making dramatic improvements in healthcare both in treatment and in economics. With respect to Pharma, I have been a pessimist over the last five years about Pharma beginning to readopt a sequencing in a large way. Of course they did that 15 or 20 years ago with their very large sequencing labs with prior generation technology and as we all know not much came out of those efforts and my expectation was that Pharma was going to be pretty much in the back room Insofar as large scale sequencing only outsourcing it. When needed on a specific project. But of course using it in day to day research in their laboratories. What we've seen over the past 18 to 24 months begins to indicate otherwise. We saw decode being purchased by Amgen, we saw Regeneron’s announcement of their plan to sequence 100,000 xonome, we have now seen Roche plan to put their clinical patients through at least what we believe to put those through the foundation medicine method. So we are beginning to see Phama come into this market in a very robust way and we are beginning to adjust our own expectations. That this maybe a very rich market, Genentech is the other example, so just a recent announcement of Genentech doing sequencing projects with HLI. So obviously very, very important developments and all bodes well for adoption sequencing in the Pharma industry.
Ross Muken: Great. And maybe just on in RTT we [indiscernible] sort of high risk adoption [indiscernible] I think you said in general volumes were up by 30% which seems like sequentially still a very big number. So help us understand where we are in that. And then what are the discussions like that being other is on sort of the average risk population.
Marc A. Stapley: We have to separate it by geographies and talk about NIPT in that way in the US. I would say were the adoption is significant more than 50% now it’s probably not 75%, so its probably in between. Growth continues more labs are jumping into the space. So we continue to build overall volume and momentum in the high-risk group as we talked about average risk is a much larger market even though the ASPs will be lower, the number of samples are dramatically higher. And right now I think that its very clear that this we see evidence that we have presented publicly on the paper we published, that the utility of this method is the same in an average risk population, although the frequency is much less. And so our conclusion from that and I believe the FDA’s conclusion will be that this test will get used in average and is for that reason that we want to work very closely with them to make sure whatever product we get approved can support with data and evidence and approval. Use of this method in average risk population, we don’t know the timing of that. And so as I said before we are working with the FDA to understand was that clinical trial need to look like and how bigger the data sets and what type of data we need together, but that’s all well underway. Quite different in other markets I would say in the EU the penetration is vastly less and it various country-to-country in aggregated I would guess where in the 5% range it maybe ever less. China less than that, but huge potential and probably a market that will come on very, very quickly is products get approved in China. I think the average risk market will come on quickly – very quickly in China and more slowly in the EU.
Ross Muken: That’s super helpful. And thank you again and congrats for Rebecca and guys.
Jay T. Flatley: Thanks Ross.
Marc A. Stapley: Thanks Ross.
Operator: And your next question comes from the line of Amanda Murphy with William Blair. Please proceed.
Amanda L. Murphy: Question on population sequencing again if I may.
Jay T. Flatley: Sure.
Amanda L. Murphy: Obviously there is a lot of talk about it, but I am just curious you think about the installed-based you have the X Ten and obviously now with the X Five? How do we think about that opportunity in terms of incremental instrument demand? So obviously there is a lot of capacity out there with genomes and clearly a benefit from the consumable side but is there a way to think about population sequencing in terms of incremental demand from the instrument side versus what you have already in the backlog?
Jay T. Flatley: I mean I would say as we go forward particularly if we’re out a year or two that the usage of an X Ten will get a little blurry in terms of what’s really done on a population sequencing basis and what’s done otherwise. Right now we kind of think a population sequencing programs it is one that our sponsor by the government and really directed to understand the diversity of the population and in some countries understanding a reference genome that’s likely underrepresented in the reference works has been done previously and then understanding the variations and there local population and then trying to learn enough about those variations medically to be able to influence what’s happening clinically in that countries. So that’s kind of how we think about top seek, in the U.S. there is a lots of sales we made of X Ten that are not that, but in other countries there are some that are certainly borrowing sample streams from the clinical work its going on in the country. Garvin being an example. So if you think about that could Garvin become a top seek project in the next five years maybe they will. [Sidras] and other example where were selling and extend and there is the possibly that more into a population sequencing project. So I think the lines are going to get a little bit blurry, but probably in the next too because think of these top seek projects is digitally incremental to what were doing in the base X Ten business.
Amanda L. Murphy: Got it. Okay thanks. And then in terms of the - I guess a follow-up to Tycho’s question earlier on the HiSeq 4000, 3000 demand if you will. So obviously there is a benefit to get into 3000 versus 2500, but have you done enough – I know it’s early, but enough market research at this point to assess whether the 4000 will drive an incremental product cycle. So obviously if you have a - 3000 vis-a-vis the 2500, but do think that there will be a decent amount of HiSeq 2000s or 2500s that will upgrade to the 4000 given the incremental benefits?
Jay T. Flatley: Yes, we're trying to be cautious about the words we use there, because I think I don’t know how you are using the word upgrade and we get that confused a little internally too. Just to be clear to everyone that you can’t take a 2500 and truly upgrade it, the way we think about upgrading an instrument. So essentially you have to buy a new one, but it’s whether the old one gets largely turned off and so that’s kind of a change out, we probably need to come with a better word to describe it. We do think that will happen and that the 4000 and the 3000 in combination will be a big incentive to that we talked about that bit when we announced the 1T kit that the systems that were capable of doing 1T would cause the older 2000 in the filed to begin to upgrade to the newer versions of the 2500. For those who didn’t do that I think they will skip right over the 2500 and go to at least 3000 if not the 4000. I would say that I don’t think that 3000, 4000 create a new customer segment, so its not a different type of user, its just vastly better economics, its on a new road map with patterned flow cells and newer technologies and so I think to the extent any customer can get the money to get to a 3000 or 4000, they will opt to do it.
Amanda L. Murphy: Have you guys quantified what the sort of one terabase upgrade or a new product cycle was from a hardware perspective, I know you obviously had the software upgrade, but what's the upgrade cycle from sort of 2000 to the new terabase from a hardware perspective. Did you ever quantify that?
Jay T. Flatley: There was only - do you mean in terms of numbers of installed base?
Amanda L. Murphy: Yes, just curious, I know obviously everyone – if you could get the software upgrade you would, but just in terms of who bought a new 2500 to get the terabase reagent kit vis-à-vis the old instrument that could impact that?
Jay T. Flatley: Yes, we’ve never parsed to those numbers out. I mean there has been a couple of analysts who have made estimates about what fraction of our installed base of 2000s and 2500s could not run the 1T kit and so those estimates have been made, but we’ve never said what that number was.
Amanda L. Murphy: Okay. Thanks guys.
Operator: And your next question comes from the line of Bill Quirk with Piper Jaffray. Please proceed.
William Quirk: Great, thanks good afternoon everybody.
Jay T. Flatley: Hi, Bill.
William Quirk: First question, Jay you mentioned in your prepared comments that’s about 30% I believe it’s the number of the instruments in this quarter two clinical customers and so I'm curious with the new NGS codes that went live in early January, any feedback in terms of I guess the smooth or smoothing or perhaps less than smooth reimbursement that some of these customers are seeing and maybe you can just talk to us a little bit about how you guys are thinking that play out - playing out over the year? Thanks.
Jay T. Flatley: I would say it's a little early for us to have any actual evidence of the impact of the codes, I haven’t our team has not gotten any data yet and are any direct feedback from customers on behavior changes or changes in reimbursement. So we don't really have any data. Obviously we think it's going to be helpful and Palmetto just did an improvable of NGS code as well which we think will be helpful, but it’s too early for us to know what the impact is going to be and whether it’s a direct effect on volumes or usage or sort of lab economics yet.
William Quirk: Got it. And then another one on NIPT off the topic today. If we are thinking about adoptions average risk population, obviously society is endorsing that is going to help out in a pretty meaningful way and estimates kicking around when ACOG much have been in endorsed average risk. Are you guys expecting to see that this year? We have heard dates as soon as perhaps April or May or roughly in conjunction with the annual meeting.
Jay T. Flatley: Yes, we’ve heard that as well, we are not counting on that, so I would say our internal plan indicate or assume that it would likely happen sometime in 2016 not in 2015. Having said that it’s possible that I could come earlier. We were surprised when ACOG adopted the high risk test earlier than we expected. So conservative and to the curve, but that's the safe place for us to be in terms of our own internal modeling, so we are assuming sometime in 2016.
William Quirk: Got it. Thanks guys.
Marc A. Stapley: Thank you.
Operator: And your next question comes from the line of Dan Leonard with Leerink. Please proceed.
Daniel Leonard: Great, thank you. What’s your assessment of the IP landscape and liquid biopsy and is IP the meaningful factors as you think about getting the product there?
Jay T. Flatley: I think it’s what we’ve seen so far much more straightforward IP landscape than what we seen in the lot of other markets particularly in NIPT, clearly there will be companies when claim they have some fundamental IP around this as happens almost in every application area. I think when it all get sorted out these assay methods are pretty standard, there is not a lot of raw invention in the assay method just being used to sequence blood in a slightly different way. So we think it’s a relatively open field from an intellectual property perspective.
Daniel Leonard: Got it, thank you.
Operator: And your next question comes from the line of Isaac Ro with Goldman Sachs. Please proceed.
Isaac Ro:
,:
Jay T. Flatley: And I mean, first half I would say we are not planning to do kind of standalone basis. Many of the companies that have announced projects and begin to show some clinical data in a NIPT, most them use sequencing as their underlying method, there are few other alternatives. But most of them use sequencing. And most of them use our platform and we will continue to encourage that, those are going to be great customers for us because remember in the US even though we are developing our own method. We don’t have the ability to go out to the labs and to teach those labs how to use that method because home [indiscernible]. So in the US we will go through the FDA and try to get an improved test, we will run an LDTS necessary to gather data to sort of build clinical evidence and encourage the overall market to grow with lots of different methods here. It’s going to be a diverse set of methods that we believe for NIPT that is for local biopsy. There is a number of different ways to go about it, there will be some companies which use to have very targeted tests that have limited indications. There will be others that go after much more universal methods. Our option that we have chosen is to go toward the more universal test, even though we march through some more targeted collections of variants on the way.
Isaac Ro: Got, it, that makes sense, thanks. And just on the forensic platform, that’s a market where you know I think on the customers either government funded or crime labs and the like so just maybe if you could help us understand your go-to market strategy there, your initial target customers are kind of channel investments that you make much.
Jay T. Flatley: So, you’re right. Our approach actually from a commercial perspective is to take what we believe is a significant superior offering in this market through our specialist channel that overlays on our sales force and targets exactly the kind of labs that you were talking about. So we made the announcement couple of weeks ago and we expect to be out in the field, this quarter and through the rest of the year targeting those labs.
Isaac Ro: Thanks.
Operator: And your next question comes from the line of Steve Beuchaw. Please proceed.
Steve Beuchaw: Hi, good afternoon and thanks for taking the questions.
Jay T. Flatley: Thanks.
Steve Beuchaw: I want to Jay if you could you take the approach that you have been using in NIPT with the review that Myraqa has given and maybe give us that same lengths on your approaching in clinical and oncology. What is your – you are work with Myraqa you know thought you about how do approach that market.
Jay T. Flatley: I said a couple of things one is that will be going for C approval in Europe faster than we might have otherwise that’s a critical step for us to take and is one that that’s the easier to take then FDA approval. So you will us do that much more aggressively then perhaps we done historically. The second thing I think you will see us a bit shift as will go for in the U.S. for open platform approval first and that will allow others to put their assay methods on our platform before we get a specific assay method of own approve. So those are strategic changes I think that came out of the review my Myraqa that apply across the board. Look we are really excited the work – about the work going on the Actionable Genome Consortium in terms of setting the standards for the sample and target perhaps for the sample and target perhaps for the reporting the informatics and we have regulatory volumes that are shooting as interest observes in the AGC process and are looking at what that AGC will publish we like the way that process is playing out an expect us to continue to do more of that kind of activity.
Steve Beuchaw: I should put it all together I mean how do you think about the growth in the oncology business forward from a very 2014.
Jay T. Flatley: While we are quite optimistic about and think even without Actionable Genome and liquid biopsy our core oncology business is growing very nicely you were at least the corporate if not a bit higher. So I think they are continuous to be very strong demand if you look at the fraction of NextSeq oncology tie and as I think there is a general into these types of applications increasing broad them so it’s not just a big cancer centers anymore. And then you layer on top of that the step functions we think we could provide with the Actionable Genome panel and with successful liquid biopsy product I think that puts inflection points in the curve, but those inflection points are still aways that.
Steve Beuchaw: Perfect, thank so much everyone.
Operator: And your next question comes from the line of Jeff Elliott from Robert. Please proceed.
Jeffrey T. Elliott: Yes, thanks for the question. Jay, since its been about a year since you launched the X Ten, can you reflect on the experience your customers have had and things like gathering sample prep, managing the data and then as a follow-on any change in thought on opening of two other samples besides the whole human genomes?
Jay T. Flatley: Yes, I think there is a couple of observations there, one that we’ve highlighted previously that clearly we're selling this technology much more broadly than our original assumptions and as a result of that we have a greater fraction of our customers of X Tens that need to bring up new capabilities that perhaps they didn’t have before. Its one thing if you are the bro and you know how to sequence massive number of samples and you have pipelines in place, informatics in place and 400, 000 samples in the freezer that’s sort of one extreme and clearly they came up to speed on X Ten extraordinarily fast, but there are lots of other customers that need to build out brand new sample prep pipelines and that takes some time. Informatics is a challenge and part is a challenge for everybody even including a bro to be able to analyze the vast number of samples that can be created by the X Ten, but clearly no one would work on that probably unless we had the X Ten in the market. So it’s very important that we deliver this technology and that’s really catalyzing the world to begin to work on the problems of how you analyze tens of thousands of whole genomes at one time. So the informatics will keep up, although it tends to lag and there is always a concern reflect back that when we launched our first 300k genotyping chip, everybody was still worried about the challenge of analyzing all that data and now that’s a pittance compared to what we can do an X Ten. So that counts I think for the spectrum of adoptions rates or usage rates on the X Ten, so if we do have the ability now to analyze internally what fraction of the time each of these instruments is used by the X Ten customers and that falls across a very broad spectrum and its for the exact reasons that we’ve just discussed. I’m sorry your second parts of the question.
Jeffrey T. Elliott: The applications opening further.
Jay T. Flatley: Yes, so right now we have no plan to open the applications, today you should think of X technology as being whole human genome, you know at some point in the future we may reconsider that decision, but as of today it’s a whole genome sequencing box.
Jeffrey T. Elliott: Good. Thank you.
Operator: And your next question comes from the line of Bryan Brokmeier with Maxim Group. Please proceed.
Bryan Brokmeier: Hi thanks for taking the questions. You previously alluded to a pace of PMA submissions that the FDA has never seen before from the entire market has a whole. Have you had discussions with the FDA and what are sort of their feedback been on your plans and their ability to handle it?
Jay T. Flatley: I’m sorry; I don’t understand the first part of that. That was the sheer number of PMAs that the FDA deals with?
Bryan Brokmeier: Yes, talk about – I don’t know a few quarters ago you talked about the FDA and they usually only approved two or three PMAs per year and you are planning to bring more submissions to them than they have seen in the entire market. So I was wondering what – if they have had any feedback on their ability to handle that.
Jay T. Flatley: Yes, I don’t think that’s going to be constraint at the FDA, the data sets that we're providing here, I think they know how to review them procedurally, so I don’t think there is necessarily a challenge around that. I think the bigger challenge here is the intellectually everyone is making to a new generation of approved product. One where there is not a one-to-one correlation anymore between what comes in and what possible result you could conclude from the data set and that’s the big leap that needs to be made and where we and the FDA need to work together to figure out how do you actually validate these new products. They truly are a different class and have never been approved before, and I think getting over that hurdle and understanding and perhaps evolving whatever we decide to do collectively there is where the big challenge is as appose to just handling the sheer number of submissions.
Bryan Brokmeier: Good. Thanks Jay and I think the second question for Marc. Gross margins have recently benefited by the higher margins in the instruments you have introduced in the last year. Are the margins on the instruments you just recently announced have similar levels as the instruments last year and what impact will the trade-in program that you talked about today have on gross margins?
Marc A. Stapley: Well the impact of the trade-in program, you have seen marginally in the fourth quarter, and we’ll unwind through Q1 and Q2 as our program wraps up in the first half. On the new instruments, I would think those as being similar gross margins to the instruments that we currently have, but the exception is obviously the X Five is a higher price per unit than the X Ten, so obviously there is a slightly better gross margin on X Five.
Bryan Brokmeier: Okay. Thanks a lot. End of Q&A
Operator: I would now like to turn the call over to Rebecca Chambers for any closing remarks.
Rebecca Chambers: Thank you. As a reminder, a replay of this call will be available as a webcast in the Investor section of our website as well as through the dial-in instructions contained in today's earnings release. Thank you for joining us today. This concludes our call and we look forward to our next update following the close of our first fiscal quarter.